Operator: Good morning or good afternoon all, and welcome to the Cineplex Q1 2025 Earnings Conference. My name is Adam, and I'll be your operator today. [Operator Instructions] And with that, I'll now hand the floor to Ray Azmat to begin. So Ray, please go ahead when you're ready.
Rayhan Azmat: Good morning, everyone, and thank you for joining us to discuss Cineplex's first quarter 2025 results. I'm Rayhan Azmat, Vice President, Investor Relations, Corporate Development and Financial Planning and Analysis at Cineplex. Joining me today are Ellis Jacob, our President and Chief Executive Officer; and Gord Nelson, our Chief Financial Officer. I'll remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management's beliefs and assumptions regarding information currently available. Actual results may differ materially from those expressed in forward-looking statements. Information regarding factors that could cause results to vary can be found in the company's most recently filed annual information form and management discussion and analysis. Following today's remarks, we will close the call with our customary question-and-answer period. I will now turn the call over to Ellis Jacob.
Ellis Jacob: Thank you, Rayhan, and good morning, everyone. I appreciate you joining us today as we discuss Cineplex's first quarter results for 2025. While we experienced a softer box office this past quarter, we continue to execute our strategic initiatives and see encouraging signs across our multiple business segments. Our Media business performed very well this quarter, helping to offset softer box office results. Entering the second quarter, April has already overperformed with phenomenal results, and we are excited about the strong slate of upcoming films that will drive our business forward for the remainder of the year. Taking a closer look at the exhibition business in the first quarter, the box office performance delivered revenue of $100.9 million. The first 2 months of the quarter performed well. January delivered 100% of the prior year on the success of the extended runs of Mufasa: The Lion King and Sonic the Hedgehog 3, whereas February outperformed the prior year by 24%, driven by major releases such as Captain America: Brave New World and Dog Man. The March box office underperformed in comparison to the prior year due to the tremendous success of Dune: Part Two and Kung Fu Panda 4 as both over-indexed to the North American box office at Cineplex in 2024. Our international content strategy continues to yield impressive results, delivering 14.7% of the first quarter box office, surpassing the North American box office at 5.9%. I'm pleased to share we've seen a significant upside in box office momentum at the start of the second quarter, which positions us well for the upcoming months and the balance of the year. April delivered 176% of the prior year's box office due to the tremendous success of the Minecraft Movie, which had the biggest opening weekend ever for a video game adaptation, beating the previous record held by the Super Mario Brothers movie. Sinners also delivered a strong performance within the month, especially in premium formats like IMAX. On the strong opening performance of Thunderbolts, the first week of May is continuing a similar momentum where we have now fully recovered the Q1 box office shortfall on a year-to-date basis. And as of today, we have achieved 105% of prior year box office and expect strong comparatives going forward. At CinemaCon this year, we were encouraged by the quality and quantity of films presented and engaged in productive discussions with our studio partners, reinforcing the vital role theater plays in the entertainment ecosystem. All major studios presented a solid slate of upcoming releases featuring key franchises, new originals and marquee blockbusters. In addition to the excitement delivered by our traditional studio partners, a significant highlight was Amazon MGM's commitment to theatrical releases with plans to invest over $1 billion annually in theatrical film production and distribution. This commitment includes a slate of 12 to 15 films annually receiving exclusive theatrical windows, demonstrating their well-placed confidence in the theatrical experience. We are also encouraged by our ongoing conversations with Apple and look forward to the release of their film F1 at the end of June, which is already generating positive buzz. These industry developments, combined with our strong studio relationships position us well to capitalize on the ongoing recovery of the theatrical exhibition business. The commitment we are seeing from both traditional and emerging studios reinforces our optimistic outlook. Taking a look at our Media business, I'm pleased to report exceptional performance in the first quarter with total media revenues increasing by 32.9% to reach $29.7 million. This growth was driven by strong results across both our cinema advertising and digital place-based media segments. Cinema media revenue showed remarkable resilience, growing 38% to $17.1 million. This growth reflects the continued recovery in advertising spending and our success in attracting new advertisers across diverse categories. The value of our on-screen advertising product continues to resonate with advertisers, offering them unparalleled access to engaged audiences in a premium environment. As one of the few exhibitors that own our cinema media business, this allows us to benefit from an extremely high-margin segment with the majority of revenue flowing straight to the bottom line. In our digital place-based media business, revenue increased by 26.5% to $12.6 million. This growth was driven by new client acquisitions and expanded deployments with existing partners this quarter. Within our digital out-of-home business, all our new and existing mall networks saw growth over Q1 2024. Our location-based entertainment business continues to expand with the revenue increasing 10.5% to $38.1 million in the first quarter due to 3 new locations being added at the end of 2024. As we continue to strive towards becoming Canadians' choice and entertainment, our ability to provide multiple entertainment options under one roof continues to resonate with guests. LBE generates strong EBITDA margins and offers a more predictable operating environment given it's not dependent on content. The Rec Room and Playdium locations are contributing steadily, and we are encouraged by the potential from recent new builds. Before I close, I wanted to share a brief update on our appeal of the Competition Tribunal's decision regarding our online booking fee. On October 23, 2024, Cineplex filed its notice of appeal with the Federal Court of Appeals and with the Competition Bureau's consent was granted a stay regarding payment of the Competition Tribunal's Administrative monetary penalty pending the Federal Court of Appeals decision. We are diligently conducting all necessary court filings and other preliminary matters in order for the appeal to be heard expeditiously and hope the appeal will be heard in late 2025. Looking ahead, we are optimistic about the releases scheduled for the remainder of Q2 and beyond. The May lineup is filled with action and adventures for the whole family. Coming on the heels of Thunderbolts, it's Mission: Impossible The Final Reckoning, a fan favorite that traditionally does very well with Canadian audiences. Bringing the nostalgia back in May is the live-action adaptation of Lilo & Stitch and Karate Kid: Legends. Jumping into June, we'll see a broad range of titles catering to different audiences with the John Wick spin-off film, Ballerina, distributed by Cineplex Pictures, which has extended its partnership deal with Lionsgate until the end of 2026. There's also a live-action adaptation of How to Train Your Dragon, the latest from Pixar Animation Studios, Elio, 2 horror films with 28 Years Later and M3GAN 2.0 and Apple's F1 starring Brad Pitt, which tells the story of a former Formula One Driver who returns to the sport to mentor a young rookie driver. As the summer movie going season continues, we are off to a roaring pre-historic start with Jurassic World Rebirth and heroes [ph] both big and small, hit the screens in Superman, Smurfs, The Fantastic Four, First Step and Bad Guys 2. A reboot of the classic slasher film, I Know What You Did Last Summer and the fourth installment of The Conjuring: Last Rites will terrify moviegoers in the summer. For a doze [ph] of comedy, a remake of The Naked Gun starring Liam Neeson and the anticipated sequel Freaky Friday will hit theaters in August. Looking ahead to the fourth quarter, a wide array of content will hit the screens in time for the holiday movie going season with Tron: Ares, the Black Phone 2, The Running Man, Predator: Badlands, Wicked: For Good, Zootopia 2, Five Nights at Freddy's 2, The SpongeBob Movie: Search for SquarePants and the film long-time fans are eagerly awaiting Avatar: Fire and Ash. As we see the exhibition business gaining momentum ahead, we believe growth opportunities exist across all our business segments. Our Media business will continue to capitalize on the robust film slate ahead. The LV segment presents an opportunity to capture our target guests with new menu items and value offerings launching in the quarter. Our market position remains strong, supported by a diversified business model and premium entertainment offerings. The early success we've seen in April and the beginning of May, combined with our strong upcoming slate and strategic initiatives, gives us confidence in our ability to deliver strong results as we move through 2025. Over the decades of spent in this industry, one thing has remained constant when economic uncertainty sets in, people still turn to the movies. Time and time again, we've seen that in tough times, the movie theater isn't just resilient, it becomes essential. It's where people go to escape to connect and to find a bit of joy where they need it most. With that, I will turn things over to Gord Nelson.
Gord Nelson: Thank you, Ellis. I'm pleased to present a condensed summary of the results for the first quarter of 2025 for Cineplex, Inc. For further reference, our financial statements and our MD&A have been filed on SEDAR+ and are available on our Investor Relations website at cineplex.com. Our MD&A and earnings press release include a complete narrative on the operational results, so I will focus on highlighting select items in addition to providing commentary on liquidity, capital allocation priorities and outlook. For my comments on operations, all amounts falling will be from continuing operations unless otherwise stated. As Ellis mentioned, we experienced a softer box office in the first quarter, which impacted our results. Total revenues for the quarter were $264.3 million, representing a 10.3% decrease compared to the same period last year. A 14.5% decline in attendance led to adjusted EBITDA being negative $10.8 million as compared to positive $4.6 million in the prior year. Although the soft box office impacted our Exhibitions segment, this was partially offset by strong performances in our media businesses and 3 new locations in our LBE segment. So let's take a closer look at our segments. In the Film Entertainment and Content segment, box office revenues decreased 18.5% to $101.9 million, reflecting both lower attendance and a decrease in box office per patron. Theater attendance was $8.4 million, down 14.5% from prior year. This decline relative to the prior year was primarily due to a lack of compelling content in the current year, as Ellis mentioned earlier. Our box office per patron metric was $12.14, representing a 4.7% decrease over the prior year due to a decline in sales mix of premium-priced products, the $5 Tuesday program and a higher child mix [ph] due to the films playing during the quarter. Concession per patron increased 2% based on an increase in average transaction spend. Our theater cash rent paid and payable was down 1.8% compared to Q1 2024, due to the closure of 2 locations and rent reductions as we continue to optimize our theater portfolio and focus on reducing our fixed rent costs. As a result of the product challenges during the quarter, segment EBITDA was negative $12.4 million. But as we look forward, when product is there, the operating leverage is strong in this segment. Ellis mentioned the strong box office performance for April and May to date. For the month of April 2025 alone, our consolidated EBITDA has increased approximately $25 million to positive $13 million for the month from negative $12 million in the prior year. Our media business delivered exceptional results with total media revenues growing 32.9% to $29.7 million. Cinema media revenues increased 38% to $17.1 million as a result of strong demand from pharmaceutical, financial services and e-commerce platforms. Capitalizing on the value cinema advertising offers, digital place-based media revenue grew 26.5% to $12.6 million. The increase in digital place-based media is due to a combination of an increase in advertising revenue across our mall networks and new project revenue. All of our mall networks saw growth, including newer additions like Cadillac Fairview and Cominar, but also increases from our longer-term clients such as Oxford and Ivanhoe Cambridge. In addition, project revenue increased 32.7% over the prior year. In 2024, we entered into an agreement with Suncor to install a digital network in their Petro-Canada stations. Deployments began in 2024 and ramped up in Q1, generating the strong lift in sales. Location-based entertainment continued to expand with revenues increasing 10.5% to $38.1 million, primarily due to an increase of 3 locations, which opened in Q4 of the prior year. Store-level EBITDAaL increased by 1% to $9.8 million, whereas store level EBITDA margin moderated to 25.7%. This reflects elevated costs in the initial few months as we optimize operations in our new locations. Although same-store revenue declined 8.1% due to a number of factors, the same-store EBITDA margin was 28.2%, which is marginally higher than the prior year due to strong operating discipline. The LBE segment EBITDAaL decreased $0.4 million, primarily due to the same-store volume decline and additional onetime costs related to the opening of the new locations. I want to speak briefly about our capital priorities and then cash flow and capital allocation during the quarter. Our capital allocation priorities remain unchanged and include continuing to focus on maintenance capital expenditures, strengthening our balance sheet to achieve our target leverage ratios, making strategic growth investments and providing shareholder returns. For the first quarter, the film content challenges impacted our operating results. And this, combined with the normal working capital seasonality resulted in a decrease in our cash balance of approximately $66 million. In simple terms, this decrease is attributable primarily to the following items, negative EBITDA of $10.8 million, a seasonal use of working capital of approximately $23.3 million, cash interest of $15.1 million and net CapEx of $14.1 million, primarily related to the 4 builds completed in late 2024. Although we continue to believe that our stock is currently undervalued, as a result of balancing these capital priorities, there was no activity under the NCIB during the quarter. As we look forward, we expect the strong operating leverage of the business to return as was evidenced by my comment on the April EBITDA results. Large working capital deficiencies are typically unique to Q1 as coupons and certificates sold in Q4 are redeemed in Q1, and we draw down the payables balances at December 31, which reflects the strong December period. With respect to CapEx, our guidance for 2025 is now more muted at approximately $40 million to $50 million, which includes the $14.1 million in Q1. Given the current uncertainty regarding tariffs and other matters, we will defer spend until there is more certainty. With respect to the current macroeconomic environment and uncertainty, I would like to take a few moments to discuss these matters. As a reminder, our business is primarily based on providing compelling entertainment experiences to our guests in Canada and not transferring physical goods across borders. With respect to the threat of any U.S. trade tariffs on goods, approximately 99% of our revenue is generated in Canada through our operations and facilities in Canada. With respect to any potential reciprocal Canadian tariffs on goods, I remind you of our overall cost structure with approximately 78% of our annual costs coming from 4 categories, film rent, employee costs and occupancy costs. All intangible items that are not caught by any current tariff discussions represent 70% of our overall costs. The next largest cost category is food cost, which represents approximately 8% of our overall costs. We are continuing to evaluate any potential impacts and additional sourcing opportunities for any items potentially caught by tariffs and do not believe that any proposed tariffs will have a material impact on our business. With respect to currency exposure, less than 5% of our costs are incurred in U.S. dollars. And as Ellis mentioned previously, during times of economic uncertainty, the Exhibition business has historically been resilient. With the renewed confidence emerging from CinemaCon, as Ellis has articulated, the long-term outlook for Exhibition remains strong. We believe this future is not only real but imminent, beginning to take shape in the very near term with the strong recent results. In summary, we are excited for the future of the business and remain highly focused on creating long-term value for shareholders. And with that, I would like to turn things over to the conference operator for Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from Adam Shine from National Bank Financial. Adam, please ago. Your line is open.
Adam Shine: Thanks a lot. Good morning. Ellis, can you talk...
Ellis Jacob: Good morning.
Adam Shine: I mean, Gord obviously - Gord referenced the tariff dynamic. I don't think anyone believes that a movie tariff will indeed occur. But can you talk maybe about potential progress across some of the U.S. states, certainly, Gavvenusum [ph] and California is trying to raise film incentives to stimulate more production activity. Do you ultimately see the prospect of state-wide incentives or incentives from a number of additional U.S. states perhaps stimulating additional film production activity as compared to necessarily drawing productions from abroad back into the U.S. We'll start there.
Ellis Jacob: Yes. I think a lot of movies are not only filmed in California, they are filmed in other parts of the U.S. And I think that will be part of the incentives will continue to increase production in other areas of the U.S. And from an overall perspective, it will lead to, I feel, additional movies being produced right across the board. And in international situations, that will also continue to be used depending on the overall cost of the film. But I'm not overly concerned about the comments that have been made over the last number of days.
Adam Shine: Given what we saw out of Guzzo a few months back, are you seeing any incremental benefits just in terms of driving more people into your own theaters?
Ellis Jacob: On locations that are close to our existing theaters, they've improved, but a lot of the locations aren't close to us. So we don't find the total benefits as a result.
Adam Shine: Okay. And comments were made, obviously, on the nature of the BPP dip, which were pretty clear in the Q1. Can you maybe talk a little bit about some of the resuscitation in BPP so far in Q2?
Ellis Jacob: Yes. The reason it was low in Q1 was because of the decline in the sales mix of premium-priced product. Then we had the $5 Tuesday program, and there was a higher child ticket [ph] mix due to the films playing in the quarter. And I feel in this quarter that we are in, that will change because of the premium offerings, because of the pricing, and that will definitely be on the positive side going forward.
Adam Shine: Okay. I'll leave it there. Thank you very much.
Ellis Jacob: Thanks, Adam.
Operator: The next question comes from Derek Lessard from TD Cowen. Derek, please go ahead. Your line is open.
Derek Lessard: Yeah. Good morning, everybody. And Ellis, I think I can hear a faint - some sound of some excitement back in your voice. I guess I just want to maybe hit on the same-store sales decline, Gordon, on the LBE side. Was there anything -- I think you mentioned there's a couple of drivers of that. So I'm just wondering if there's anything to read from that.
Gord Nelson: Yes. So Derek, look, there's a few things there. Like obviously, last year was a leap year, so there's an extra day in last year's operations. The timing of the school holidays around Christmas into the New Year impacted. So there's less holidays in 2025 versus 2024. Family Day occurred during some sort of adverse weather situations across the country. So a number of small things leading to that, the 8% same-store decline. As we look out for the entire year, though, we've always said that on average, we expect these boxes to do about $10 million of revenue. And so with the start in Q1 is we have obviously some concerns with where the general economic conditions are. But we would think that probably that average is going to be impacted by 3% to 5%. So somewhere between $9.5 million to $9.7 million on average for the 16 locations throughout the year -- for the full year.
Derek Lessard: Okay. Sorry, Gord. So you're taking into account some economic slowdown?
Gord Nelson: Yes. Obviously, that will impact. But right today, we're down 8% on the same store. And -- but over the course of the full year, the impact, we believe, will be 3% to 5%.
Derek Lessard: Okay. Okay. That's fine. And I guess another question for me is, have you seen or maybe are you anticipating maybe any bump from staycations this year in Canada?
Gord Nelson: Well, we've seen -- it's all content driven. And when the product is there, our guests come out in a big way. And I think that will continue as we move forward into the balance of the summer and into the balance of the year. So we feel pretty strongly about the content and our guests coming out to see these films.
Ellis Jacob: And then just on the sort of the relative value proposition of theatrical experience versus, say, a concert or professional sporting event, when you look at sort of pre-pandemic to today, the gap is excessively widened. So we become a more attractive value opportunity for out-of-home visits.
Derek Lessard: Okay. And just maybe one more for me. Given that you have pulled back a little bit on the CapEx this year, could you maybe talk about any plans for or any future LBE expansion plans?
Gord Nelson: So yes, right. Today, as noted in our MD&A, we have one commitment. And as we've always said, we're being - we believe in the opportunity for up to 30 locations across Canada. We're in what we always refer to as a prudent pause. And when you see retailers like, unfortunately, at Hudson's Bay and others either downsizing or exiting the country is we see opportunities for potential better sites at better economics going forward. So we're just in a little bit of a prudent pause, as we look for future opportunities. And then as we've sort of also mentioned historically, from the time we commit to a location to the time we actually shovel and ground and building, depending on the site, sometimes it can be a year to 2 years.
Derek Lessard: Got it. Okay. Thanks for the color, Gord.
Gord Nelson: Thank you.
Operator: [Operator Instructions] The next question comes from Maher Yaghi from Scotiabank. Maher, your line is open. Please go ahead.
Maher Yaghi: Great. Thank you for taking my question. I wanted to go on a question that Adam alluded to in terms of potential tariffs on movie production outside of the U.S. I spoke with a few of the studios in the U.S., and I did not get the sense talking with them that there's going to be a negative reaction, like basically reducing -- reduction of production of movies as a consequence, could be a shift in where the production is made. But can you talk about, let's say, if the cost to produce a movie goes up, how would that affect your economics as a movie operator?
Adam Shine: Well, at the moment, nothing has been confirmed. And as you have spoken with them, I had spoken to all the major studios in the U.S. and they basically feel that things will stay in the same vein with incentives coming from U.S. states for both the producers and also some of the exhibitors if they feel that's necessary. So I'm not - on the Monday, I was quite concerned when it was first brought up. But as the week has gone along, I feel there's less of a huge risk because to be able to make the charge, it's going to be very, very difficult because movies are made in different parts of the world and different U.S. states and a lot of them are finished in California. But it would be very difficult to keep the pieces of the movies in different areas. And one area that would impact the U.S. exhibitors more than Canadian is for international content if there are tariffs on those because that's not something that we would have to be impacted by in Canada.
Maher Yaghi: Right. And in terms of passing through any increase in cost of production, if it were to happen, how would that be passed through to the consumer?
Adam Shine: We would work together, and it's in a position now where it's too early to speculate. And that's why I think it's better that we see where this ends up. And I understand that there's some announcements happening today. So until we know where things are going, I don't want to put us our guess in an awkward position in any way.
Maher Yaghi: Okay. Fair enough. I wanted to ask you on the media side. It continues to grow nicely, and you seem to be seeing a different angle of the media advertising spend than other advertisers in Canada, which is good to see. How much more growth do you expect to see from that business? Have we reached a level that is consuming most of the time that you have available to put advertising minutes in front of consumers watching movies? Or there's still more inventory you can sell at this point in time?
Adam Shine: Yes. So let's talk about - so you're asking a bit about capacity utilization. And so the business, the 12 months of the year. And so we may be typically have high capacity utilization in November and into December. So there's opportunities, and we've always said there's opportunities to kind of improve that capacity utilization across the full 12 months of the year. Now advertisers need to be wanting to have campaigns during those periods, but that's where there's opportunity. Overall, the capacity utilization is relatively low. In the first quarter, and we called out a couple of things as we saw some great success in new categories coming into cinema. So pharma was one that we called out. And so pharma had a significant improvement year-over-year. And when we think about pharma as a category going forward, it's a category that's probably less impacted by general economic conditions than perhaps some of the other categories may be. The other thing that we wanted to kind of - or just for me to call out, too, is as we look at our revenue mix, this is the first quarter where our programmatic category ended up in our top 5. And so programmatic is a big opportunity for us as we look forward to. So and again, we want to provide a portfolio of media solutions for our customers. So we have in cinema when the whites go dark, we have the preshow, we have the lobby network. We have our mall networks. We have an entire portfolio of solutions that we can kind of create and cater to the advertisers' needs. So we see opportunity, although we do recognize that there's general challenges in advertising, but we were one of the few, if not perhaps the only category of advertising that showed improvement in Q1.
Maher Yaghi: Okay. Great. And my last question, Gord, you when you were talking about the stock buyback that you - in the year, you put that in the same sentence or close to the same sentence you were talking about the fact that you're going to see improvement in free cash flow generation in the back half and also potentially in Q2. Is it fair to assume that the outlook on free cash flow provides a good window of opportunity here to see you come back with a more active buyback in the months to come?
Gord Nelson: Yes. Look, our commentary was kind of -- I was speaking specifically about Q1 and just -- and I highlighted a number of things that resulted in the drain of cash. But you're absolutely right. As we look forward and we balance the capital priorities of which kind of leverage and capital investments and share buybacks are all part of that equation. So things are looking encouraging going forward. And I'll leave it at that for now.
Maher Yaghi: Okay. Thank you.
Ellis Jacob: Thank you.
Operator: [Operator Instructions] We have no further questions, so I'll hand the call back to the management team for any closing comments.
Ellis Jacob: Thank you, sir, and thank you all for joining our call this morning. We are totally energized by the start of the second quarter and look forward to sharing our second quarter results with you in August. And we hope to see you at the movies very soon. Thank you.
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.
Ellis Jacob: Thank you.